Operator: Welcome everyone to the Wyndham Hotels & Resorts First Quarter 2025 Earnings Conference Call. At this time, all participants have been placed in a listen only mode and the floor will be open for your questions following the presentation. [Operator Instructions]. I would now like to turn the call over to Matt Capuzzi, Senior Vice President of Investor Relations.
Matt Capuzzi: Thank you, operator. Good morning and thank you for joining us. With me today are Geoff Ballotti, our CEO; and Michele Allen, our CFO and Head of Strategy. Before we get started, I want to remind you that our remarks today will contain forward-looking statements. These statements are subject to risk factors that may cause our actual results to differ materially from those expressed or implied. These risk factors are discussed in detail in our most recent annual report on Form 10-K, filed with the Securities and Exchange Commission, and any subsequent reports filed with the SEC. We'll also be referring to a number of non-GAAP measures. Corresponding GAAP measures and a reconciliation of non-GAAP measures to GAAP metrics are provided in our earnings release and investor presentation, which are available on our Investor Relations website at investor.wyndhamhotels.com. We are providing certain measures discussing future impact on a non-GAAP basis only because without unreasonable efforts, we are unable to provide the comparable GAAP metric. In addition, last evening, we posted an investor presentation containing supplemental information on our Investor Relations website. We may continue to provide supplemental information on our website and on our social media channels in the future. Accordingly, we encourage investors to monitor our website and our social media channels in addition to our press releases, filings submitted with the SEC, and any public conference calls or webcasts. With that, I will turn the call over to Geoff.
Geoff Ballotti: Thanks, Matt. Good morning, everyone, and thanks for joining us today. Despite an uncertain macro environment, we delivered a very solid start to the year. Adjusted EBITDA grew 9% on a comparable basis, and adjusted EPS increased 20%. We grew our global system by 4% and our pipeline by 5%, to a record 2,143 hotels. We saw healthy increases in both our U.S. and our international royalty rates. We drove continued growth in our ancillary fee streams, and we returned nearly $110 million to our shareholders. Global RevPAR grew 2% in constant currency. International RevPAR grew in all regions except China. Latin America RevPAR grew by 25%, excluding Argentina's hyperinflation, with both strong ADR and higher FeePAR additions in Mexico and in the Caribbean. EMEA RevPAR rose 6%, with solid performance in Germany, Turkey, India, and Greece. And Southeast Asia and the Pacific Rim posted year-over-year RevPAR growth of 8%. And in China, demand remained steady, but RevPAR declined 8% year-over-year, reflecting continued pricing pressure. As you've all been tracking through STR, while U.S. RevPAR started strong in January, momentum softened in February and March as consumer sentiment weakened. Our results finished about 3 points below our expectations, growing 2% for the quarter, or up 60 basis points, when normalizing for the benefit from hurricanes and the Easter shift to Q2. Excluding these benefits, pricing power still remains steady, increasing 110 basis points for the quarter against a 50 basis point decline in demand. When normalizing for the timing of Easter and the lapping of last year's solar eclipse, April month-to-date RevPAR in the U.S. is down 3%, consistent with what we saw in March on a normalized basis. And while March and April results have trended below the expectations we had assumed in our original outlook, and Michele will take you through our revised outlook in a moment, recent trends are now more encouraging, indicating positive momentum as we head into the busy summer travel months. Whatever demand scenario may transpire, our brands have always outperformed in periods of economic downturn relative to the overall industry. Following 9/11, RevPAR for our select service hotels outperformed STR's upscale and above segments by 300 basis points. During the global financial crisis, by 500 basis points, and during COVID by 2,500 basis points. Wyndham's track record of industry outperformance is not coincidental. It reflects the structural advantages of our select-service model and the nature of the demand that we serve. With limited reliance on white-collar corporate and group travel, which tends to contract most during economic downturns, our business is anchored by a stable and resilient base of essential frontline blue-collar workers, a guest segment that continues to drive consistent demand even as broader corporate discretionary travel budgets tighten. This segment has shown resilience through prior cycles, and we expect it to do the same in any macroeconomic setup. Moreover, we are far less impacted by the current international inbound demand declines. Less than 3% of our bookings in the United States arrive from international inbounds, including less than 2% from Canada. Approximately 90% of our footprint is concentrated in drive-to markets, where leisure demand is less impacted by the cost and the complexity of air travel. Our brands are attractively priced relative to upscale full-service hotels, positioning Wyndham to capture trade-down demand from both leisure and business travelers seeking value. We outperform in times of economic distress because our model is different. During economic down cycles, we've continued to grow our system. Amid softer demand environments, hotel owners consistently turn to brands at scale that they know and that they trust, and brands that outperform their competitors, seeking broad distribution, a loyal customer base, operational support, and cost efficiencies. As independent and underperforming branded hotels face mounting pressure, Wyndham offers the tools and the support needed to compete more effectively. And as investment in U.S. manufacturing accelerates, particularly in secondary markets, our existing system and pipeline of select service and extended stay hotels are located in regions where demand is growing. Whether it's in markets driven by the on-shoring that new tariffs are creating, whether it's in markets that are beginning to benefit from large infrastructure projects that are finally beginning to break ground from the federal infrastructure bill where allocations are ramping, or whether it's from new private sector investments in large data center projects across the country, Wyndham's portfolio is well positioned to serve the everyday travel that these markets will benefit from in the decade ahead. Our continued momentum on the development front speaks volumes, reflecting not only the strength of our value proposition to owners, but also the confidence that they have in our ability to perform in any range of market conditions. This was a record first quarter for us in terms of room additions. We opened 15,000 rooms, 13% more than we did last year, and our development teams drove sequential net room growth across every region we operated. We signed 6% more deals than a year ago, expanding our pipeline for the 19th consecutive quarter to a new all-time high of 254,000 rooms, representing an average FeePAR premium of over 30% versus our current domestic and international systems. Domestically, our mid-scale and above brands grew 4%, driven by conversions like the Wyndham Avanti Resort & Conference Center on International Drive in Orlando, and new construction openings like the La Quinta Hotel and La Habra in Orange County, California. New ECHO Suites and Hawthorn Suites openings continued across Texas, Virginia, and Wyoming, reflecting growing developer interest in our extended stay new construction prototypes. Internationally, we grew net rooms by 7%. With continued strong interest in our brands across Europe, the Middle East, and Eurasia, our team grew the pipeline by nearly 40%, and net rooms for the quarter by 5%, with new construction additions like the La Quinta Batumi Beach in Georgia's coastal hotspot. Latin America grew its pipeline by 9%, and increased net rooms by 10%, with high-quality conversions like the Wyndham Alltra Punta Cana Resort, and new construction hotels like the new TRYP by Wyndham Guzmán, located in the heart of Jalisco, the Mexican birthplace of tequila. In Southeast Asia, in the Pacific Rim, net rooms grew by 14%, including the debut of our Wyndham Grand Brand in Phnom Penh, Cambodia. And in China, our team doubled our direct franchising system openings, and grew net direct franchise rooms by 17%, with both spectacular new conversions and beautiful new construction additions like the Days Inn by Wyndham Shantou Jinping, our 100th Days Inn in China. By contrast, our legacy master licensed franchisees in China grew at a much slower pace, up less than 2% year-over-year. Excluding our China master licensees, global system growth would have been 30 basis points higher than our headline growth rate, underscoring our strategic focus on accelerating growth within our direct franchising platform internationally, where we continue to see stronger FeePAR and greater revenue potential in the quarters and the years ahead. As we prioritize our development growth in higher FeePAR geographies and higher chain scales, as we build scale in markets where we already have significant density, and as we expand our direct franchising in select regions previously heavily reliant on master-licensee relationships, the hotels we're adding are entering the system with a stronger economics, contributing to meaningful royalty rate accretion, which is beginning to pay off. This quarter, for example, our royalty rate increased by 19 basis points domestically and by 15 basis points internationally. By continuing to remix our portfolio towards higher FeePAR hotels, we're elevating the long-term earnings power of our system. We also continue to see strong momentum in our ancillary fee growth this quarter, driven by our renewed co-branded credit card agreement, our growing partnership initiatives, and our ongoing technology innovations, new Barclays accounts rose 11% and spend volumes increased 7%. Our new debit card, which was launched this quarter, is attracting a much younger demographic into our ecosystem. And we recently announced a new partnership adding Carnival Cruise Lines to Wyndham Rewards, giving our loyalty members even more ways to explore, to earn, and to make the very most out of their vacations. Finally, we want to recognize our phenomenal team members around the world. For the third straight year and the 5th time overall, Wyndham was named one of the World's Most Ethical Companies by Ethisphere. This honor reflects the care, the commitment, and the integrity that our teams bring to their work every day, and it's what makes Wyndham such a great place to work and a great company to partner with. In closing, while the current demand environment is uncertain, our focus remains firmly on the long term. We've been here before, and each time we've stayed grounded in what we do best, growing our system, supporting our franchisees, and advancing the strategic initiatives that strengthen our business over time, which is exactly what we're focused on doing right now. Our value proposition is stronger than ever. It's powered by our world-class teams, a best-in-class technology stack, the industry's number one loyalty program, and a resilient, asset-light business model designed to perform through all phases of any economic cycle. We remain confident that our growth strategy will continue to deliver meaningful value for all of our stakeholders. And with that, I'll now turn the call over to Michele. Michele?
Michele Allen: Thanks, Geoff, and good morning, everyone. I'll begin my remarks today with a detailed review of our first quarter results. I'll then review our cash flows and balance sheet, followed by our outlook. Before we begin, let me remind everyone that the comparability of our quarterly results is impacted by the timing of our marketing fund spend. In the first quarter this year, marketing fund expenses exceeded revenues by $22 million, compared to expenses exceeding revenues by $14 million in the first quarter of last year. To enhance transparency and provide a better understanding of the results of our ongoing operations, I will be highlighting our results on a comparable basis, which neutralizes the marketing fund impact. In the first quarter, we generated $316 million of fee-related and other revenues, and $145 million of adjusted EBITDA. Fee-related and other revenues increased $12 million year-over-year, principally reflecting a 9% increase in royalties and franchise fees, as well as higher ancillary revenues. The increase in royalties and franchise fees reflects system growth of 4%, royalty rate improvement of 16 basis points, and higher other franchise fees. Our ancillary revenue growth was primarily driven by higher credit card and partnership fees, as well as increased license fees. Adjusted EBITDA grew 9% on a comparable basis, primarily reflecting the higher fee-related and other revenue, and approximately 60 basis points of margin improvement. First quarter adjusted diluted EPS was $0.86, up 20% on a comparable basis due to EBITDA growth, the benefit of share repurchases, and lower depreciation and amortization, partially offset by higher interest expense. First quarter free cash flow was $80 million, converting from adjusted EBITDA at approximately 55% in line with our expectations. We returned $109 million to our shareholders in the first quarter through $76 million of share repurchases and $33 million of common stock dividends. Amid broader market volatility and a meaningful share price decline during the quarter, we accelerated buybacks, repurchasing 35% more than we did in the first quarter of 2024. We closed the quarter with approximately $640 million in total liquidity and our net leverage ratio of 3.5x remained as expected at the midpoint of our target range. Turning now to outlook. While first quarter global RevPAR performed in line with our expectations, as Geoff mentioned, we had anticipated stronger performance, especially in March, given the relative ease of the year-over-year comparison. With trends remaining softer through April, we are refining our 2025 outlook to reflect a more cautious view of industry-wide RevPAR performance for the remainder of the year. Our current assumption is that full-year constant currency global RevPAR will range between down 2% to up 1%. The high end of this range assumes the remaining nine months of the year, performed largely in line with our original outlook, essentially implying a swift resolution to the current global trade tensions and a corresponding improvement in consumer sentiment. While that may prove optimistic, we believe it provides a useful reference point for modeling purposes. Conversely, the lower end of the range reflects RevPAR performance more consistent with the trends we saw in March and April, where the rest of the year declined about 3%. Given the current uncertainty and limited long-term visibility, we believe this new guidance is a reasonable lower bound for planning purposes, wider than what we typically provide, but a prudent response in today's volatile macro environment. To help frame the potential variability, we've provided RevPAR sensitivities on Slide 21 of our investor presentation. Every one-point change in RevPAR equates to an approximate $10 million impact to fee-related and other revenues and $4 million impact to adjusted EBITDA. There are no changes to our net room growth outlook. Fee-related and other revenues is now expected to be $1.45 billion to $1.49 billion, down from our prior outlook of $1.49 billion to $1.51 billion. This decline is roughly split evenly between royalties and franchisees and marketing, reservation, and loyalty revenues. As we navigate this environment, we're taking prudent action to manage expenses carefully, which is allowing us to meaningfully offset much of the revenue impact at the EBITDA line. Adjusted EBITDA is now expected to be between $730 million and $745 million, down $10 million to $15 million from our prior outlook. Adjusted net income is projected to be $358 million to $372 million, and adjusted diluted EPS is projected at $4.57 to $4.74, which reflects the first quarter share repurchases and is based on a diluted share count of $78.4 million. As usual, our EPS outlook assumes no share repurchase activity or incremental interest expense associated with any potential borrowing activity. Free-cash flow conversion before development advances is expected to be approximately 57%. There is no change to our development advance spend outlook. As it relates to our marketing funds, our expectation remains that at the RevPAR levels we're now guiding to, the funds will break even on a full-year basis, give or take a few million dollars. We also expect the marketing funds will break even in the second quarter. Our business model is built for resilience. We no longer own hotels, we no longer carry management or performance-based operating guarantees, and nearly 100% of our system is franchised, making Wyndham the most asset-light business in the industry. Our strong balance sheet enables us to stay focused on our long-term growth strategy, disciplined capital allocation, and the flexibility to lean in when opportunities arise. Together, these strengths position us to unlock long-term value and deliver meaningful returns for our shareholders, regardless of near-term dynamics. With that, Geoff and I would be happy to take your questions. Operator?
Operator: [Operator Instructions] Thank you. We'll take our first question today from Lizzie Dove with Goldman Sachs. Please go ahead. Your line is open.
Lizzie Dove : Hi there. Thanks for taking the question. First off, Geoff, I just wanted to say a big congratulations on the new addition to your family last week. It's exciting news.
A - Geoff Ballotti: Thank you very much, Lizzie. It is exciting, yes. Four daughters, and now three grandsons in two short years. It's amazing how fast that happens.
Lizzie Dove : That's awesome. That's awesome. On the question, I appreciate all the comments around the range of outcomes for RevPAR outlook, super helpful. I guess looking at the U.S. specifically, could you share a little more about what you've been seeing and just put a finer point on what has changed? I think last quarter the makeup of the outlook of 2% to 3% in the U.S. was about 150 to 200 basis points infrastructure, then another 50 on leisure, 50 on pricing power. So when you think of that makeup now, I'm just curious how that buildup is different today.
A - Geoff Ballotti: Sure. It's probably a little bit different on the infrastructure side, and we could talk about that in a second. But to your first part of your question in terms of what we're seeing, I'd say we're all still optimistic on the team, Lizzie. Normalized April demand was performing as Michele said, similarly to March. But that wasn't until last week where we saw RevPAR improve by 400 basis points, running about a full point ahead of the prior year. So the pace for May, 20 days out with a third of our business on the books, is trending in line with our revised outlook with pricing holding firm, and I think that's really important. Our franchisees realize that there is still pricing power out there, that their ADRs are still well below inflation and a good room for ADRs to run. And I've got to give a shout-out to our teams who are working so hard to communicate with our franchisees, our revenue management best practices to really drive rate and margin. We have a global conference coming up in a couple weeks, and that will be what we're talking about, ensuring that franchisees are building that base business with contracted, negotiated business, really taking advantage of all of our on-demand and digital marketing, to drive occupancy. So pricing holding firm, majority of our franchisee revenue, as you know, I think it was your question to Michele on last month's call, is there seasonality? There is. A third of our hotel's full-year demand shows up in June, July, and August, and so we're exiting April with momentum. And we're encouraged that leisure transient will pick up into the summer months, and there are lots of other reasons for that optimism. Our cancellation rates are holding steady. They are not ticking down. Our average lead times are holding steady at 20 nights, and our average lengths of stay are still well ahead of where they were pre-COVID level. In fact, in the quarter, they picked up 3% year-on-year based on the paid media campaigns that our marketing funds were running, and hit 1.95 nights, was significantly higher than they were pre-COVID level. So on the transient side, our middle-income guests are still more employed with wages and with savings higher than pre-COVID, and nearly half of all Americans are still saying that they are planning a vacation for this summer, which is, we don't have foresight to in terms of our booking windows. But the back part of your question, we're optimistic on the blue-collar everyday travel fronts. We're seeing increasing private on-shoring and public infrastructure demand, although it did start off slower than what we saw in the fourth quarter in terms of that 150 basis points. And Michele, I don't know if you want to add anything to that.
Michele Allen: Sure, happy to. Yeah, as Geoff mentioned Lizzie, leisure, I think the biggest disconnect from our initial guide and the results we saw back in January was leisure just not performing as strongly as we had expected. Pricing is holding. Our weekday trends continue to outperform our weekend trends. It's really just that consumer sentiment resulting from the macro uncertainty that's weighing on the overall leisure occupancy and driving, what I would say, our outlook at this stage. And so if we think about the remainder of the year, in the U.S. specifically, we're expecting at the low end that the rest of the year will perform consistent with the normalized trends we saw in March and April, so that implies about 3% down. And then at the high end, obviously, we are building in some optimism to that, just assuming that there could be potential that those trends were more of just a short-term reaction to the uncertainty, and as the shock wears off, we would see the improvement that Geoff is talking about. And in addition to the positive momentum he referenced, I would just add we're also seeing Google search volumes up over the last two weeks in April as it relates to hotel and travel-related keywords, again, giving us optimism that consumers are beginning to plan their summer vacations.
Operator: And we'll take our next question from Michael Bellisario with Baird. Please go ahead. Your line is open.
Michael Bellisario : Thanks. Good morning, everyone.
Geoff Ballotti: Good morning, Mike. You had a new baby, I think, last quarter right? Was it Annie?
Michael Bellisario : No, no, no. Number three is next quarter, so I'm doing my part to catch up to you. Geoff, you didn't talk about your longer-term outlook in algo. I don't think that slide's in your deck anymore. So maybe can you just help us frame what that outlook would be in the current environment, maybe what changes and sort of what are the sensitivities that we should be thinking about there looking out to ‘26 today?
Geoff Ballotti: Yeah, I'll talk just really quickly. An important part of that algo, Mike, is obviously our net room growth, and there is nothing that we're seeing that would prevent us from delivering. We've had a lot of questions on net room growth, on our long-term 3% to 5% net room algo. We've had a record first quarter as we talked about, 15,000 room openings, up 13%, really strong signings, and really around the world, with 180 hotel contracts awarded up 6% to last year and up 40% to the first quarter of 2019, and our pipeline is in great shape, but Michele could talk about the EBITDA.
A - Michele Allen: Hi, Mike. So I think we'll have a better perspective on 2026 once we see how 2025 plays out in February. At the midpoint of this year's original outlook, we were pacing toward an 8.5% EBITDA CAGR over the three-year period. I'd say with our revised outlook, EBITDA's down only about $13 million this year, which as Geoff mentioned, in no way alters our long-term trajectory. Our growth algorithm remains intact. Our focus is on controlling what we can control, and everything within our control is performing at or above our expectations; system growth, royalty rate, margin, fee par, ancillary revenues, the pipeline, all in line or better than expectations. So we'll continue to execute against our strategic priorities, manage our cost structure with discipline, and of course, deploy capital where it drives the greatest long-term return. And history tells us then, that U.S. growth is typically around 2.6% annually. And so while 2024 came in below trend, and 2025, May 2, those under-earning years should then be followed by stronger-than-average ones. So we feel really good about the fundamentals we can control. We're confident our business can compound growth at attractive rates in a more normalized RevPAR environment.
Operator: And we'll take our next question from Brandt Montour with Barclays. Please go ahead. Your line is open.
Brandt Montour : Good morning, everybody. Thanks for taking my question. So I wanted to talk a little bit about the development backdrop. The net unit growth in the first quarter was just – I mean, when we calculated, it was just a touch below the range for the year. And to that – you know you guys reaffirming that, it implies a little bit of a lift as you go through the year. I'm wondering if (A) that's sort of planned, what you guys expected to happen as you go through the year. And second, maybe, Geoff, if you could just talk about – 70% of your opens are conversions. If you could just talk about the puts and takes of the conversion business and that momentum as it pertains to the current backdrop, i.e., cost for furnished goods going up. But, of course, we've got this potential counter-cyclicality effect of slowing RevPAR potentially helping. I hope that all makes sense. But any thoughts, that would be helpful?
A - Geoff Ballotti: There's a lot in there, Brandt, and I'll start with where you started. I think we feel very good about the first quarter in terms of where we landed. As you know, our openings ramped throughout the year, and it was very consistent. There's a good slide Matt put in the deck in terms of what we needed to do this quarter, and we felt we did it. And again, nothing out there that, as I said to Mike, is making us doubt our long-term 3% to 5% algo. In terms of conversions, the second part of your question, we – there's – I think it’s Slide 6 in the IP which talks about our ability to flex up. But we were around 90% conversions during COVID, which as new constructions came down, conversions came up. And you saw that normalize in our investor presentation, 70% of our full year 2024 openings, given the strength and the success of our new construction prototypes. And that has continued to pick up. Our new construction openings ticked up by 500 basis points, both domestically and internationally, to nearly a third of all of our openings. And with our executions, our new construction pipeline being up 400 basis points to 1,500 hotels in the first quarter, quarter-on-quarter, we're not seeing that slow down. So is there the ability to flex up in conversions? Absolutely. Domestically our conversion pipeline was up double digits versus last year, but we're feeling really, really good about it domestically. We're feeling great about it internationally. We met with dozens of developers this quarter in Southeast Asia where our signings were strong, our conversion pipeline. We grew in Southeast Asia significantly in the quarter and in China, still real strong strength out there. You saw 90% more room openings than last quarter and a 17% domestic net room growth over there. And then in Europe, we talked about that 40% increase in the pipeline, I believe, in our script. We were over in India where, gee whiz, I mean, infrastructure demand is exploding and hotel supply just can't keep up. We were in India, the first franchise company to enter India before franchising was even as popular as it is today. And we are today the company with more franchise hotels than anyone else, and India is really what's helping fuel our EMEA growth in both the openings and the pipeline. And then the last part of your question on what we're hearing in terms of costs, tariffs, and whether or not that's going to slow things down, tariffs, supply chain, stability on those fronts, certainly top of mind. But our teams are doing a great job shifting sourcing, bringing production closer to home, and negotiating with suppliers to share in the increased costs. There's always been a concern, and you've read a lot about the cost of steel and aluminum in the industry, but with us in our type of construction, we're a lot less about steel and aluminum, much more so focused on lumber, which is a huge driver of cost. Most of our new construction is stick construction as opposed to steel and aluminum construction. And happily, the administration exempted Canadian lumber from the new tariffs, given, I think, what it knew its impact would be on new construction. And then the concern shifts to imported fixtures, furniture, equipment, technology, electronics. But we're optimistic, and I think our franchisees are as well, Brandt, that the uncertainty that's out there, could be relatively short-lived. I mean, we've worked through – they've worked through supply chain disruptions before, and they are increasingly looking to us for help, and our teams are increasingly sourcing domestically wherever possible. In fact, we're mandating at least one domestic sourcing solution for all important supply categories. For example, our FF&E for our new Days Inn Dawn prototype. Days Inn is our best-performing economy brand right now, and its RPI just keeps going up, and Days Inn Dawn prototype is a big part of that. It's being sourced entirely from North Carolina or Texas. Our ECHO Suites, which we've talked a lot about our fastest-growing new construction brand launch yet, all of that FF&E is manufactured in Minnesota, where we're not seeing any costs increase yet. So we're – sourcing is not domestic. We're certainly expanding solutions in other countries when it comes to things like technology, like Vietnam and Cambodia. And we're, again, optimistic that this is going to be more temporary than long-term. I hope that answered it.
Operator: We'll take our next question from David Katz with Jefferies. Please go ahead. Your line is open.
David Katz : Hi. Good morning, everybody. Thanks for taking my question. No babies here.
Geoff Ballotti: We won't comment on that.
David Katz : None here. I was just going to leave it right there.
Geoff Ballotti: Okay.
David Katz : I wanted to talk about your development engine and sort of the development process, right? You know, easy to get sort of sucked into the near-term RevPAR and demand, etcetera, which is relevant, but taking the long-term view on how you're, one, sort of allocating resources, driving NUG, building a pipeline. I'd love some geographic updates on how you're doing in different areas. There's been a lot of concern about, you know, what might be going on in Asia or elsewhere with it. And if you could, Michele, just talk a little bit about sort of key money and key money strategies. It's another area that we're all quite interested in. Thank you.
Geoff Ballotti: Okay. I'll start off and pass it to Michele on key money. She's very tough about those key money allocations, and we're not doing much of it to the chagrin of our international Presidents overseas, nor do we have to. And, I mean, you mentioned Asia. That's a good place to start. We were over there this quarter, and we've just seen continued acceleration on both the execution and the development front. We are bringing in FeePAR accretive rooms. We open 90% more rooms. Many of our peers have been talking about building master license relationships over there and how well they are working for them. We've been very focused having entered China, for example, 20 years ago with master license, to focus more on selling the 20-plus brands that are not master licensed directly, because they're coming in at much higher FeePAR's, much higher license fees. And so while we open 90% more rooms, the team executed so many more deals, over 50 deals, more deals executed than they did last year. And our Asia-Pacific pipelines, whether it's in countries like Thailand or Singapore, we are seeing robust growth, and we're seeing really strong growth on both the new construction side and on the conversion side. We have continually invested in our franchise sales and development teams overseas. Europe is a big, big area right now that we're focused on, that's doing very well from both an application standpoint and an opening standpoint, as is Latin America. So we continue to increase our sellers, our franchise sales team. We're focused entirely right now on selling direct franchise agreements as opposed to master license agreements overseas, and we're using very little key money to do that. Michele?
A - Michele Allen: Sure. From a key money strategy, we are prioritizing opportunities, David, as you know, that deliver high-quality revenue, accretive FeePAR to the system. That means we're focusing on higher RevPAR markets where we can or already do have scale and where we can drive pricing. I'd say internationally we're being selective and strategic about how we direct the capital, even how we direct our human capital. And you'll see us do a good bit of volume in EMEA this year, specifically in Germany. We really like the structure of that market being the largest economy in Europe. But as Geoff mentioned, we're not deploying capital into China, for example. So being very selective and very strategic. We know this strategy is working. It's worked really well for us over the last few years, and we continue to add more attractive markets into the system. Just this quarter we added Singapore, for instance, internationally. And the deals that have development advances associated with them are coming in at much higher FeePAR’s. So we're really thrilled to be seeing this strategy executing according to our expectations, and the teams are really happy to have this tool in their toolkit.
A - Geoff Ballotti: And very happy to see, without a lot of key money, as Michele mentioned, going out internationally, that international pipeline coming in with a FeePAR premium of over 30%. I think it's 32% of what is in our existing international system.
Operator: And we'll take our next question from Stephen Grambling with Morton Stanley. Please go ahead. Your line is open.
Stephen Grambling : Thanks. This is just a follow-up on that question I guess sometimes when what we see now is the output of several years of efforts. As we think about what might happen going forward and the major changes you see in the development environment. Maybe if you can just elaborate on how either the terms of the structure of agreements maybe have changed over the past years of higher interest rates. And then just to clarify, I think the loan advances you cited there were we're up a little bit. Is that – and that's just – is that related to the moving upstream or is that new markets and then what's the typical, I guess, payback that we should think about on those. Thank you.
Michele Allen: Yeah, sure. With respect to the loan advances, we had an opportunity to advance our partnership with one of the premier developers in Germany. I just mentioned that was a strategic, and is a strategic a market for us. We're able to strengthen our footprint in this very important region. Germany's the largest economy, the highest FeePAR market outside of North America, and we've been really focused on building density there. This portfolio will add over 3,000 rooms to our system over the next few quarters as we integrate it, and you can see that impact in the EMEA pipeline, which is up 40% for the region.
Stephen Grambling : Got it. And I guess are those kind of standard terms or do we see that get paid back over a typical length of time, or do we assume that its ratable.
A - Michele Allen: Oh sure. Yeah, it's definitely an interest-bearing loan and it will be paid back over, I believe, the next two years.
Operator: And we'll take our next question from Dany Asad with Bank of America. Please go ahead. Your line is open.
Dany Asad : Hi. Good morning, everybody. Just a follow-up question on your change in outlook comments, Michele. You talked about the low-end run rating at down three, the top end of the guide being up one for the balance of the year. Can you maybe break that down for us by what's changing in your outlook by region? So what's changing in the U.S., and then how is your outlook in the rest of the world changing?
Michele Allen: Sure. Yeah, actually my prior comments were with respect to the U.S. only, because I think that was the exact question, so let me just clarify. In the U.S. we're assuming that we see the continued pressure from March and April for the remainder of the year, so that would have us down 3% on a normalized basis. Of course, it's going to be down a little bit more in the fourth quarter when you take into account, lapping the hurricane headwinds, but it will all average out to down 3% for the remaining – the remainder of the year. Internationally, I'd say we've taken a generally consistent approach using the more recent trends in each of the regions to project out the rest of the year. Every region as you know faces its own dynamics, and China has faced more recent pricing pressure, EMEA momentum has continued, LATAM is seeing exceptional ADR growth, in Canada we're assuming again consistent March and April performance, which was not was not really stellar. So overall, we're expecting international RevPAR to decline about a point on a constant currency basis.
Operator: And we'll take our next question from Steven Pizzella with Deutsche Bank. Please go ahead. Your line is open.
Steven Pizzella : Hey, good morning, everyone. I just wanted to follow-up on the encouraging recent trends comment again. Maybe you could expand on where you are seeing that, and if you think they are sustainable. And if these recent trends were to continue, would that get you to the mid-point of the EBITDA guidance.
Michele Allen: Hi. So I’d say our guidance is meant to reflect any range of outcomes. At the low end we are assuming pretty – generally speaking that the trends we saw in March and April continue for the remainder of the year. Again, there is potential as Geoff mentioned that those trends were more transitory, and that we would see improvement from that, and we're starting to see some early signs of positive momentum. But to be fair, starting to see some early signs of positive momentum and the majority of our EBITDA is going to come in those very important summer months. So until we have full visibility of what that looks like, it's really – we really just need to see how those are going to perform. What's going to get us to the midpoint or the higher end is improved performance from those March and April trends, obviously. We would expect to be closer to the midpoint, I'd say, than the lower end if we see improvement from that down to 3% in the U.S.
Operator: And we'll take our next question from Patrick Scholes with Truist. Please go ahead. Your line is open.
Patrick Scholes : Great. Thank you. Good morning, everyone. No plans for any more children in my family. We are good there in that department. Thank you. Question here on ancillary revenues. I believe last quarter you had called out an expectation for low teen growth for this year. Certainly, since last quarter, I believe it was in February, we've seen declining consumer confidence. Is your expectation still the same for low teen ancillary revenue growth? Thank you.
Michele Allen: Hi, Patrick. Sure, yeah. We continue to expect 2025 growth to be in the low teens range, and there are further growth opportunities beyond ‘25, including international expansion, and so we continue to expect it will be higher than low teens in 2026. As it relates to this year and this current RevPAR environment, I'd say a significant portion of our ancillary revenue is contract-based, which provides a high level of visibility and durability. And then the largest growth driver this year, as you know, is expected to be our co-branded credit card, and the non-contractual piece of our card income is based on total card spend, not just travel spend, and only about a third comes from the travel category. So I think that makes the fee stream more insulated from RevPAR fluctuations, and we feel really comfortable at this stage, and where we're guiding right now from a RevPAR outlook, that the ancillary fees will continue to grow in that low teens range for 2025.
Patrick Scholes : Okay. Could you just give a little bit of explanation exactly what a contracted – you know, it sounds like that's something that's locked in no matter what happens here. What exactly is that? Thank you.
Michele Allen: Sure. With respect to license fees, for example, there's a minimum floor that P&L will pay to Wyndham. So their – the VOI at P&L would need to drop pretty materially before we would eat into that floor, so it provides kind of a base space.
Operator: And we'll take our next question from Ian Zaffino with Oppenheimer. Please go ahead. Your line is open.
Ian Zaffino : Hi. Great. Thank you. Maybe talking about the trends you are seeing in infrastructure right now, you know, have you really seen any impact from macro? Do you expect to see any softening there or is it kind of just steady as she goes? Thanks.
Geoff Ballotti: Yeah. Thanks, Ian. We did, as I mentioned in Lizzie's question, see a bit of a slowdown in the first quarter versus the fourth quarter, with the halting of disbursements of infrastructure funds in January, but the IIJA allocations are gradually resuming. Several of us, several hotel and airline CEOs had the opportunity to meet a few weeks ago with Transportation Secretary Sean Duffy down in D.C., and the assurance that the administration's main focus is all about getting the balance of the allocations out, but more importantly as Secretary Duffy said, the dollar is actually spent. The administration wants faster spending on highway and bridge construction, big, beautiful highways, big, beautiful bridges. There is just too much economic growth. There's too much job creation. There's too much economic stimulus to boost GDP for this, as Secretary Duffy put it to us, not to happen in terms of making the transportation infrastructure stronger. And we certainly heard that for anybody that was listening yesterday to the televised Cabinet meeting in the White House, all about getting those funds flowing when it comes to things like our nation's airports and air traffic control, or the recent energy dominance executive order to expand oil and gas exploration that Secretary Wright talked about yesterday and we're starting to see that. Our GSO revenue growth continued to pick up. It was up smaller numbers, but it was up 30% year-on-year. And so much of that is driven by infrastructure and by our remote sales teams that franchisees can opt into for sales support, actually availing themselves of the demand that those contracts are creating. Our consumed GSO revenue in the first quarter from infrastructure room nights exceeded the U.S. STR industry growth by about 380 basis points. And so that's helping us drive continued mid-scale mid-week share gain. And we're also seeing strong private investment with dozens of hotels near our nation's largest data centers. Secretary Lutnick, they were all talking about it yesterday, was referencing what's going on out in Arizona with TSMC and the investment that they are making. We have dozens of hotels that are seeing the benefits of that demand. So we continue to view the infrastructure spend, that $1.2 trillion bill as a multi-year tailwind that's going to be driving over $3 billion of gross room revenue to our hotels in the next 8 to 10 years.
Operator: [Operator Instructions] We'll take our next question from Alex Brignall with Redburn Atlantic. Please go ahead. Your line is open.
Alex Brignall : Good morning. Thank you for taking the question. On the German deal, could you just give us some more detail on the terms of that, on the nature of the 3,000 rooms, if they are already existing or new construction, and whether there are any similar deals that you have in the pipe that could come through later down the line?
A - Michele Allen: Sure. I probably can't disclose specific terms for competitive reasons. I can say that it is a structure that allowed us to provide financing to a partner that was well above our cost of capital and with strong structural provisions and personal guarantees. We're always judicious with our capital, and make sure when we deploy it, it's above our hurdle rates. Our first priority is investing in the business and in high-quality growth. And I'd say an asset-light, cash-generative business like ours gives us flexibility, even in uncertain times, to evaluate opportunities on a case-by-case basis and deploy capital where it creates the most long-term value. Could there be potential opportunities like this in the future? We hope so. Bringing in 3,000 high-quality FeePAR accretive rooms in one of our key strategic markets is something we're incredibly excited about. And so I think when we think about deals and what makes most sense for the long-term health of our business, we have a number of tools in the toolkit, and we deploy them very strategically.
Operator: And we will take our last question today from Dan Wasiolek with Morningstar. Please go ahead. Your line is open.
Dan Wasiolek : Hey, good morning, guys. Yeah, just wondering, your commercial team seems to be leading the industry in innovative technology solutions. What opportunities are you providing owners in this environment to lower costs and increase top-line growth? Thank you.
Geoff Ballotti: Well, thank you for that shout-out, Dan. I'm sure Scott Strickland and his incredible commercial team appreciate it. They've been very busy over the last six years. We've talked a lot about – it's in our investor deck. We've invested over $300 million in what has become an industry-leading tech stack. We have completely moved off of legacy providers. We have best-in-class providers that are entirely cloud-based like Oracle and Amazon and Adobe. Canary is our most recent and exciting partner. And all of these partners, along with Sabre of course, which is where all of our ARIs is held, it's enabling us to innovate faster. It's taking labor-intensive tasks away from our franchisees, and it's really raising the service bar for our customers, most importantly for our small business owners. We'll be talking a lot about this at our global conference. It's allowing them to make extra money. But our approach with our franchisees and small business owners is not to mandate these services, these programs, this technology, but to offer them on an opt-in basis. And when we have 5,000 of our 6,000 U.S. franchisees opting into services like our Signature Reservation Service, where they don't have to employ a front-desk agent to check Dan Wasiolek in, but they are able to actually service them. Well, all of those calls are bounced to a professionally run call center that's delivering a much faster average speed of answer, a much higher conversion rate, and a significantly higher, up to 15% higher ADR lift. That's a big deal. And they'll sign up for that all day long, as they will our opt-in revenue management services, which drive hundreds of increased basis points of occupancy, or I mentioned earlier, our sales support where we're hiring salespeople across the country, because small business owners can't necessarily afford them on their team, but are willing to opt in to those type of services. We're also offering free services that any small business owner would be crazy not to opt in to, like our ability to reconcile OTA reservations that don't show up, at no cost, delivering thousands of dollars of savings a month. I could go on and on. We've talked a lot about Wyndham Connect. It will be a big push for us at conference. Over three-quarters of our franchisees have opted in to, because it is a best-in-class suite of technology that's allowing monetization efforts for franchisees to now charge effortlessly, seamlessly, for an early check-in for the Wasiolek family or a late check-out or what they might want in their room before they arrive. So we're really excited about it. It's a big piece of our value proposition and something that our franchise sales teams are very proud of offering to our franchisees.
End of Q&A:
Operator: And there are no further questions on the line at this time. I'll turn the floor back to Geoff Ballotti for any closing remarks.
Geoff Ballotti : Well, thank you very much, David, and thanks everyone for joining us and for your questions today and your continued interest in Wyndham Hotels and Resorts. Michele, Matt, and I look forward to seeing many of you at the upcoming investor conferences that we'll be at in the weeks ahead, and to spending time with thousands of our franchisees, our team members from around the world, and our strategic sourcing partners at our 2025 Wyndham Global Hotel Conference in Las Vegas at Caesars Forum from May 19th to the 21st of this month. Have a great day, everyone!
Operator: Thank you. And this does conclude today's Wyndham Hotels and Resorts, first quarter 2025 earnings conference call. Please disconnect your line at this time and have a wonderful day!